Operator: Good day and welcome to the Innospec Q3 2013 Earnings Call. For your information, today’s conference is being recorded. At this time, I would like to turn the conference over Mr. David Williams, General Counsel. Please go ahead, sir.
David Williams: Thank you and good day everyone. My name is David Williams and I am Vice President, General Counsel and Chief Compliance Officer at Innospec Inc. Thanks for joining our third quarter 2013 financial results conference call. Today’s call is being recorded. As you know, late yesterday we reported our financial results for the quarter ended September 30, 2013. The press release is posted on the company’s website www.innospecinc.com. An audio webcast of the call and the slide presentation on the results are also now available and will be archived on the website. Before we start, I would like to remind everybody that certain comments made during this call might be characterized as forward-looking statements under the Private Securities Litigation Reform Act of 1995. Generally speaking, any comments regarding management’s beliefs, expectations, targets or other predictions of the future are forward-looking statements. These statements involve a number of risks and uncertainties that could cause actual results to differ materially from the anticipated results implied by those forward-looking statements. These risks and uncertainties are detailed in Innospec’s most recent 10-K report as well as other filings we have with the SEC. We refer you to the SEC’s website or our site for these and other documents. In our discussion today we have also included some non-GAAP financial measures, a reconciliation to the most directly comparable GAAP financial measures is contained in our earnings release and in the presentation that follows, a copy of which is available on the Innospec website. With us today from Innospec are Patrick Williams, President and Chief Executive Officer, and Ian Cleminson, Executive Vice President and Chief Financial Officer. With that, I will turn it over to you, Patrick.
Patrick Williams : Thank you, David, and welcome everyone to Innospec’s third quarter 2013 conference call. This was a very active and positive quarter for Innospec highlighted by our core business increases in both sales and gross margins year-over-year. We’ve also had successful completion of two related acquisitions for our Personal Care business and a more recent one in Oilfield Specialties. In addition the Board’s institution of a new cash dividend policy and the declaration of our initial payout of $0.50 per common share which combines two semi annual payments for 2013. Overall we are pleased with our operating performance in the third quarter. We have met or exceeded our expectations in our two core businesses Fuel Specialties and Performance Chemicals in the phase of continued strong competitive and economic pressures. We have good momentum moving forward in the fourth quarter positioning us well for the year end and into 2014. Once again in the spite of a very tough traded environment Fuel Specialties delivered impressive performance recording 8% top-line improvement over last year. The drivers of this performance included the integration and expansion of strata controlled and our long term focus on superior customer service and technology. Continuous tension to working capital management and cost control has supported the financial and sales performance. We expanded our fuel detergents product line which we feel is amongst the best in the world in our Fuel Specialties new product pipeline remains extremely strong. As you know, we entered the Oilfield Specialties business recently on a low key basis with the intension of growing sales organically with our existing technologies and looking for suitable acquisition targets that complimented our business model, our metrics and our culture. We have made good and steady progress in building out this business. A few days ago and after quarter end, we announced that we had concluded the acquisition of Bachman Services Inc. and its affiliate companies from its private owners. This is a very important deal for Innospec. We have set for sometime that we need a transformational transaction to move us towards critical mass in the Oilfield Specialties business. Bachman has a similar customer service culture and brings a strong technology base in market position. The Bachman acquisition has been funded through Innospec’s existing revolving credit agreement with its banking consortium after successfully negotiating amendments to that facility during the quarter increased not aligned from a $100 million to $200 million. We expect Bachman to be immediately accretive to Innospec and are looking forward confidence to broadening our presence in the oil and gas segment for the chemicals markets. Performance Chemicals continues to operate good growth prospects but sales in this particular quarter were a little disappointing. Fragrance Ingredients performed well during the quarter despite weak demand in the polymers market, owned capacity and pricing pressures continued to underline margins. However our strategic core Personal Care continuous to perform well. And we most importantly we concluded the acquisition of Chemsil and Chemtec during the quarter to enhance our global platform for this business. Our sales performance benefited immediately in the positive contributions and we plan to invest further in expanding both businesses. Chemsil develops a market silicon based formulations for Personal Care and Chemtec distributes a broad line of Personal Care ingredients, which have already been recognized by our customers as a natural and wealth of extension of our product portfolio. We are very happy with the additions of Chemsil and Chemtec to the Innospec family. The integration of these businesses and their key people into the Innospec management team is going very well. As anticipated both businesses have been immediately accretive. This also expands our technology and our customer base in this key market. Our Performance Chemicals new product pipeline particularly in Personal Care is very strong and our focus on customer service remains our principle priority. Our Octane Additives business as you know continues to wind down with virtually no visibility in this business beyond year end. Third quarter Octane Additive results were below expectations, principally due to the phasing of orders and there will be some catch up in the fourth quarter. Now I will turn the call over to Ian Cleminson who will provide some detail on the financial performance, after which I will return with some final comments prior to taking your questions.
Ian Cleminson:  Thanks Patrick. Turning to slide six in the presentation, the company’s total revenues for the third quarter were $192.8 million, a 5% increase from $183.4 million a year ago. The overall gross margin increased from last year to 29.8%, driven by continued strong growth in Fuel Specialties and a solid performance in the Personal Care market within our first Performance Chemicals segment. Our GAAP earnings were $0.58 per share compared to the $0.65 per share reported in last year’s third quarter. On an adjusted basis, our earnings per diluted share was $0.65 on a par for the year ago period. EBITDA for the quarter was $23.6 million, an increase of $3.4 million over last year. Net income for the quarter was $14 million. Moving on to slide seven, revenues in Fuel Specialties for the third quarter were $137.4 million, 8% higher than the $127 million reported a year ago. Increase was primarily driven by 4% higher volumes, a 2% favorable currency impact as the euro strengthened and a 2% uplift from the inclusion of the strata business. By region, revenues increased 9% in the Americas and 13% in EMEA. Sales in Asia Pacific felt 12% driven by the loss of a gasoline detergent contract. The Avtel business performed as expected during the quarter; margins in this segment increased by 2 percentage points from last year to 31%. Gross profit was $42.6 million and operating income was $22.3 million up from last year’s $19.6 million. Turning to slide eight. Revenues in Performance Chemicals in the third quarter increased 2% to $47.9 million. Performance in the Personal Care segment was stronger and consistent and the Chemsil and Chemtec acquisitions contributed a 6% sales uplift. As cleared in acquisitions underlying sales across Performance Chemicals fell by 4% as volumes reduced by 4% and lower pricing of 1% was offset by a 1% favorable currency impact as the euro strengthened. By region, revenues increased by 5% in EMEA, while sales in Americas and Asia Pacific were on a par with last year. Gross margins improved 23.3%. Performance Chemicals operating income for the third quarter was $5.6 million unchanged from last year’s third quarter. Moving on to slide nine. Net sales in Octane Additives for the third quarter was $7.5 million compared with $9.6 million a year ago, primarily due to phasing with the shipments carrying over to the fourth quarter. The segment’s gross margin was 49.3%, a sharp increase from 36.5% in last year’s third quarter. And gross profit was $3.7 million. Segment’s operating income for the quarter was $2.1 million up from $1.5 million last year. Turning to slide 10, corporate costs for the quarter were $9.4 million compared with $9.1 million a year ago. The increase was primarily due to higher legal, enhanced compliance and acquisition related costs offset by lower share base compensation accruals. As expected the quarterly pension charge was $0.7 million. A portion of these legal costs related to the [ALGAU] lawsuits which we referred to in our last 10-Q will reiterate our position that we regard this without merit and we’ll continue to find it vigorously. The accrued year-to-date tax effective rate is 20.9% compared to 18.8% last year with an implementing a new ERP system which went live in the U.S. in the quarter, the system is a significant in investment through which we expect to improve efficiencies in order processing and collecting. Moving on to slide 11, we closed the quarter and net debt position of $33.7 million as an additional $65 million of revolving credit facility was drown down in order to from the acquisition Chemsil and Chemtec. Manage working capital expansions and the capital expenditures. As Patrick mentioned, we concluded the acquisition of Bachman after quarter-end. We financed this acquisition by [drawing] down further on our banking facility which we extended from $100 million to $200 million in the quarter. As of September 30th we have cash and cash equivalents of $60.3 million and debt of $93 million. And now I will turn it back over to Patrick for concluding comments.
Patrick Williams: Thanks Ian. To conclude we are pleased with the third quarter operating performance at Innospec and feel that we are well positioned both operationally and financially for future growth. We have made key strategic acquisitions in personal care and a further important acquisition since quarter-end in oil field specialties that we believe will open up new and high profitable growth channels for the company. Our immediate objective is to successfully integrate all these businesses into our global platform and to realize the growth synergies and scale that we have identified. We continue to be in a sound financial position even after an active acquisition phase as our business continued to generate strong cash flow supported by our successful refinancing. Having return cash to shareholders in 2011 in the form of buybacks and in 2012 in the form of a special dividend, we have now instituted new cash dividend policy. We see this as a natural extension of our capital management program. And this policy is a clear expression of our Board and management’s confidence in the future of Innospec. At the same time, while we are confident about our business prospects and field specialties, oil field specialties and performance chemicals we continue to closely monitor our markets worldwide as we deal in a highly fluid economic environment. I am also pleased with our annual sustainability development report which was published during the quarter. This shows continued positive trend in the safety of our operations, the energy and ways we produce and the impact of our operations on environment. We continue to invest in sustainability at Innospec to bring about further improvements. And we continue to invest as well in research and development for new products and technologies related to IT systems to make us more efficient. Now I will turn the call over to the operator. And Ian and I will answer any questions you have.
Operator: Thank you. (Operator Instructions). We can take our first question which comes from Ivan Marcuse of KeyBanc Capital Markets.
Ivan Marcuse - KeyBanc Capital Markets: Hi guys, thanks for taking my questions.
Patrick Williams: Good morning, Ivan.
Ivan Marcuse - KeyBanc Capital Markets: Good morning. Congratulations on the Bachman acquisition. Can you give a little bit more details about this acquisition? How does this add to your overall portfolio, is this more on the drilling side or on the production side and is the profitability of this business in line with your existing oil field chemicals business? And then lastly, you mentioned in the release about synergies, where are those synergies, are those in terms of putting plans together or is it just more on the corporate side, how do you see this business growing and adding to profitability overtime?
Patrick Williams: Sure. No problem, Ivan. I will take one at a time. The first question, if you look at the business, it is more on the production side. If you look at the Strata acquisition which we made in 2012 that was more on the drilling side. We are naturally basically hedging against gas and oil, as well as if there is a drop in oil prices, you still have to have production you still have to have oil wells that are all ready to drill and frac producing. So this is more on the production side, there is some in the fracking side, stimulation fluids that this business has, but it's primarily production. It’s primarily been located in the Midwest, primarily Kansas, Oklahoma, Texas. Our plan is to expand its geographical region. And also take the business platform and the technology that they have into our global platform. We’ve talked about this one for a while and it really gives us the ability to have a little more growth on that side of business and product expansion on that side of business to what we think can grow in double-digits and healthy margins. The margins in that business are very similar with the field specialties and oil field margins that we have today. So they are right inline of very healthy margins. I think the product line and our technology portfolio was well, is with our synthesis in PHD [chemist], we can expand that product line. And I think that we have naturally hedged ourselves against a negative run down on crude prices, if it happens as we've already seen it come down to about $93 in WTI. But we're very confident that this was a very good acquisition. The team is staying on that we currently have that we bought and we're just going to expand the business.
Ivan Marcuse - KeyBanc Capital Markets: So you had Strata, which is about $20 million I believe about a year ago. Is this business in whole now like $150 million business or whereabouts is it?
Patrick Williams: Yeah. Just north of $100 million.
Ivan Marcuse - KeyBanc Capital Markets: Just north of $100 million?
Patrick Williams: Yeah. And right now, Ivan that’s going to [assist] you on field specialties and we’ll decide at some point in time if and when the right time is to pull that out because obviously we don’t want to have added cost to the business. And if we could keep those synergies together, we think that we would not add cost plus we could use some of those synergies inline. This business to answer your last question was not a function of doing at four synergy cost, it was doing it for growth. There are simple synergy costs, but most of this was really and for growth and globalized in the platform that we have in place.
Ivan Marcuse - KeyBanc Capital Markets: How much debt did you have to add through this acquisition?
Ian Cleminson: Yeah. Ivan we drew down an additional $65 million today, sorry we drew down additional $45 million to do this with portion of that was in stock the rest was in cash. And as you know during the quarter, we expanded our banking facilities up to $200 million. So we've still got a little bit headroom in that to run our business and then maybe took next step in the acquisition trail as well.
Ivan Marcuse - KeyBanc Capital Markets: Great. And then…
Patrick Williams: So further word in was saying is that we're always the firm believers in especially buying privately held companies that they should have stock ownership for multiple reasons. And you guys can use that for what you want. So obviously you can pretty much tell what we paid for the business, but 75% was cash, 25% was stock, additional to that we believe it’s a strong transaction for our company. And moving forward we want to make sure that we delever pretty quick.
Ivan Marcuse - KeyBanc Capital Markets: Great. And then a couple of quick questions. The dividend, just to be sure that I heard you clearly, you said $0.50 for your annual is that you imply that your regular dividend going forward all else being equal will be $0.25 every semi-annually or is that $0.50?
Patrick Williams: No, it’s $0.25 semi-annually that will be the same going into 2014. Obviously overtime we would like to bump that up and that's where the start is right now.
Ivan Marcuse - KeyBanc Capital Markets: Great. And then last question that I have, then I will go back in the queue. You guys have been very active in the acquisitions. How do we look at the pipeline now going into 2014?Are you going to take sort of a breath here and integrate all of these businesses or do you still remain fairly active in the acquisition arena trying to add to your core businesses further?
Patrick Williams: No I think it’s time for us take a break I think for multiple reasons. It’s one thing to make an acquisition, Ivan it’s another thing to make the acquisition successful. And so we've got to integrate it properly. We've got to put the proper operating procedures in place. We've got to, moving into our global platform and I think to do that is going to occupy a lot of our time. And as you’ve just said, we have made quite a few acquisitions. It’s time to take a break. It’s time to make sure the businesses are appropriately managed. And I think secondary to that to help pay down the debt and then we’ll look at kind of where the future is. Now look, we won’t shutdown the pipeline because as you know, when you shut the pipeline down it takes a year to get back in. But we will definitely slow it down and really be critical on making any acquisition moving forward. I think I am more worried now about let’s make sure the cash flow is there, the CapEx is there, the integration is in place, pay down our debt, delever a little bit and be healthy again moving forward for the next phase of Innospec.
Ivan Marcuse - KeyBanc Capital Markets: Great, thanks.
Operator: Our next question comes from Jon Tanwanteng of CJS Securities. Please go ahead.
Arnie Ursaner - CJS Securities: You actually have Arnie Ursaner backing up Jon this morning. A couple of quick questions. In your prepared remarks you indicated in the octane piece some catch up in Q4, now I appreciate the business is lumpy by quarter, but overall are you expecting the second half of the year to be in line with the first half of the year in octane?
Patrick Williams: Yeah, we’re both expecting second half to be equal to first half stuff.
Arnie Ursaner - CJS Securities: Okay. Next question is a brief one on the financial side, your SG&A and R&D were much higher than we had modeled and you did indicate you might have had some unusual or a typical items embedded in that, can you separate those out a little bit for us?
Ian Cleminson: Yeah, it’s Ian again. On the call we talked a little bit about the acquisition cost of completing the Chemsil, Chemtec acquisition. We identified those on the front of the earnings release that we put out last night that was just over a $1 million. We are also running a little bit higher on legal and compliance cost and we’ve been talking about this for a number of quarters where we accelerate in our compliance efforts and also we are running some legal cases as well. So those are temporarily little bit high. We expect them in 2014 start coming down. So we expect to see our overall cost come down. On the R&D side we have been pushing a lot heavier on the product testing and expanding some of our R&D functions, we see that as a real positive thing today and we’ve gained a lot of leverage out of those costs. Offsetting some of that we do have slightly lower stock-based compensation than we did last year, but we just need to be mindful that the stock price [come down] from quarter-to-quarter, so that can bounce down a little bit, but that’s -- in a nutshell, I mean that’s where we are.
Arnie Ursaner - CJS Securities: And you are rolling at your ERP systems; did you have some incremental amortization of that in the quarter?
Ian Cleminson: And we just started to amortize, that’s just started in Q4, that will start to come through.
Arnie Ursaner - CJS Securities: And what is the magnitude of that?
Ian Cleminson: Just on the U.S. side, it will probably be about $1 million and $2 million per annum, but as we roll out globally that level will increase and we will keep you abreast of the changes we made there.
Arnie Ursaner - CJS Securities: One question for Patrick, Performance Chemicals is usually a very steady business, you are designed into products that are stable, you cannot get replace very easy for formulation and other reasons. You saw 4% organic decline. Can you comment a little bit more on the macro trends you are seeing in Performance Chemicals and your outlook for the rest of the year?
Patrick Williams: Sure. If you look at Performance Chemicals broke it up into three segments, personal care, fragrance and polymers but I will take you more specific around personal care. You are correct, it is a very stable business, once you’re formulated in, it’s very tough to formulate you out. We did see some order pattern differential in Q3, it’s not a learning to us right now, we think we will pick a little bit of that up in Q4. So I think that the 4% decline pre-acquisition to me was more of a paging situation and it wasn’t anything else. We continue to see uplift in our products and technology. We continue to see ourselves expand to the customer base. So I think as you just pointed out, we think it’s more of a phase war than anything else, it’s not a warning to us at this time.
Arnie Ursaner - CJS Securities: Thank you very much.
Operator: (Operator Instructions). Our next question comes from Christopher Butler of Sidoti & Company. Please go ahead.
Christopher Butler - Sidoti & Co.: Could you speak to the competitive and economic pressures in Fuel Specialties that you cited in your prepared remarks?
Patrick Williams: Yeah, I mean, I think, this is a very competitive environment, Fuel Specialties. You've got six major players. Everybody is filing for the same business, not necessary with the same technologies. But it's always been a competitive game, it's a fairly responsible players in the marketplace, but it is a competitive environment. So that competitiveness has not changed whatsoever since we've been in this business. I think we did see a little pull back as we did lose a gasoline tender in Asia Pacific, which pulled us back a little bit, but I think as you could tell we are growing the business more than we're losing business and a lot of tenders that we have, we have picked up this year, which will carry us extremely well going in 2014. We still see very good growth heading to 2014.
Christopher Butler - Sidoti & Co.: Good. So it sounds like that contract should be replaced that some level here for at least (inaudible)?
Patrick Williams: That's correct, if it has not already been replaced.
Christopher Butler - Sidoti & Co.: And can you give us some color on your raw material environment with oil up during the quarter, but subsequently kind of coming back down again. Is that going to help you or is that indicative of softening demand for oil and fuels?
Patrick Williams: I would say, it's pretty stagnant right now, usually it's a $10 differential that will start a swing up or down and we probably with from the quarter from a 105 price on WTI down to a 93, 94 price on WTI right now. We haven't started to see the relief yet, but I think if you start to get around that $90 range, we'll start seeing some relief on raw materials, but we're not seeing it yet. I think just [my chew] is to always watch crude oil because that’s a very good benchmark for our raw material.
Christopher Butler - Sidoti & Co.: And it sounds like you’re thinking of this as a supply issue rather than a demand issue bringing now the prices down?
Patrick Williams: Yeah.
Christopher Butler - Sidoti & Co.: And just finally big picture, do you have the platform that you need in oil field services in order to effectively compete or as we look forward say three years, are you going to want to make additional acquisitions to fill out the portfolio?
Patrick Williams: I think that if you look at where we are today we definitely have the platform to compete now and you’ll see that as the years move forward, but we have intensions to continue to grow this business right now organically. And I think at some point in time you’ll see obviously us looking again at growing this through strategic acquisitions. There is a lot of growth there for this business. There is a lot of room for technology players like ourselves. We just want to make sure that we integrate the business so that we have bought and to make sure that we get them into our global platform. And then obviously we’ll make sure technologies right on top of that and then we’ll strategically look at acquisitions thereafter.
Christopher Butler - Sidoti & Co.: I appreciate your time.
Operator: That will conclude today’s question-and-answer session. I would now like to turn the conference back to Patrick Williams for any closing or additional remarks.
Patrick Williams: Thank you all for joining us today and thanks to all our shareholders and Innospec employees for your interest and support. If you had any further questions about Innospec or matters discussed on this call, please give us a call at anytime. We look forward to meeting and talk with you again early next year. Bye, bye.
Operator: That will conclude today’s conference call. Thank you for your participation, ladies and gentlemen. You may now disconnect.